Operator: Welcome to the Broadcom Q1 2014 Earnings Call. My name is Eric and I’ll be your operator for today’s call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note this conference is being recorded. I will now turn the call over to Chris Zegarelli. Mr. Zegarelli, you may begin.
Chris Zegarelli: Thank you very much and good afternoon, everyone. Today's call will include prepared remarks by Scott McGregor, our President and Chief Executive Officer; and Eric Brandt, our Executive Vice President and Chief Financial Officer. This call will include forward-looking statements which are subject to risks and uncertainties that could cause Broadcom's results to differ materially and adversely from management's current expectations. We encourage you to review the cautionary statements and risk factors contained in the earnings release, which was furnished to the SEC today and is available on our website and in our most recent Annual Report on form 10-K and subsequent reports of on from 10-Q. We undertake no obligation to revise or update publicly any forward-looking statements to reflect future events or circumstances. Additionally, throughout this call, we will be discussing certain non-GAAP financial measures. Today's earnings release and the related current report on Form 8-K describe the differences between our non-GAAP and GAAP reporting and present a reconciliation between the two for the periods reported in the release. Please also see the Investors section of our website at investor.broadcom.com for a slide deck that includes additional information disclosed in accordance with SEC Regulation G. Now it is my pleasure to introduce Broadcom's President and Chief Executive Officer, Scott McGregor.
Scott McGregor: Good afternoon, and thanks for joining us. Broadcom performed well in the March quarter with revenue above the midpoint of the guided range and ahead of consensus estimates. EPS also came in ahead of expectations for the quarter. Upside in the quarter was driven by strength in broadband and infrastructure. In broadband we see solid trends of access products as operators continued to deploy the latest technologies including VDSL upgrades to power faster connections in the home. We also see strength in set top box as the industry transitions to HEVC, which sets the stage for Ultra HD in the coming quarters and years. In infrastructure, we continue see strong demand from service providers for a broad range of switch and processor solutions that power base stations, back haul and the core of the network. We also see solid growth in 10 gig and 40 gig networking due to continued strength from datacenter customers. Broadcom technology is a common thread across all of these exciting and innovative trends. In mobile, we continue to drive our roadmap forward. We’ve introduced new low power connectivity solutions for wearables and continue to see new wearable products come to market that have powered by Broadcom. We also delivered unmatched innovation for home routers and gateways. In our cellular business, we shipped our dual core LTE SOC in Q1 consistent within plan and we’re continuing to execute to the milestones that outlined at Analyst Day. I’ll go into these items in more details later in the call, but we’ll first turn the call over to Eric for details on first quarter results and second quarter guidance. Eric?
Eric Brandt: Thanks, Scott. As Chris mentioned, please refer to the data breakout in the investor section of our website for additional information that will supplement my financial commentary. Moving to the financial overview, to summarize, total revenue came in at $1.98 billion, down 3.9% sequentially and down 1% year over year. Q1 non-GAAP product gross margin was down 40 basis points from Q4 to 52.2%. Q1 GAAP product gross margin was 49.4%. Non-GAAP R&D plus SG&A expenses were up $4 million sequentially, while GAAP R&D plus SG&A expenses were up $6 million. Q1 non-GAAP EPS was $0.51 per share, or $0.05 above the First Call consensus of $0.46 per share. Q4 GAAP EPS was $0.28 per share. Cash flow from operations for Q1 was $606 million. Our cash and marketable securities balance at the end of the quarter was $4.9 billion. Moving to revenue and gross margin, in January, we said that we expected Q1 product revenue between $1.9 billion and $2 billion. We delivered revenue at the high end of that range at $1.98 billion. Our broadband communications segment came in ahead of expectations at $559 million, up roughly 2% sequentially. Upside in the quarter was driven by stronger than expected sales of both set top box and broadband modem solutions. Revenue from our infrastructure and networking segment came in ahead of expectations as well at $579 million, up roughly 1% sequentially. Upside in the quarter was driven by the Ethernet switch. Our mobile and wireless segment decreased roughly 10% sequentially to $846 million. Our Q1 non-GAAP product gross margin was down 40 basis points from Q4 to 52.2%, which is ahead of our initial expectations primarily due to mix. Our Q1 GAAP product gross margin was down from Q4 to 49.4%. Moving to operating expenses, total non-GAAP R&D and SG&A expenses for Q4 were up $4 million from Q4 levels, which was below our expectations, driven primarily by faster achievement of synergies from the Renaissance transaction and lower mask and related spending Moving to other items, in March 2014, we sold certain Ethernet controller related assets and provided certain nonexclusive intellectual property licenses to QLogic for $209 million. We recorded a gain on the sale of assets of $48 million and deferred revenue related to a licensing and supply agreement of $120 million that will be amortized over approximately seven years. For further discussion, please see our 10-Q that we anticipate filing later today. During the quarter we recognized a $25 million impairment of intangible assets, of which $5 million related to the Renaissance transaction. This was driven by a reduction in revenue expectations from the acquired Legacy modem. With this reduction we believe it is still possible that we achieve nine figures of LTE revenue but doing so will depend on sell through of existing designs, particularly in the back half of the year. Finally, we currently expect the Renaissance transaction to be closer to roughly $0.15 dilutive in 2014 operating results as lower than expected volume was mostly offset by improved costs. Moving to the balance sheet, cash and marketable securities ended Q1 at $4.9 billion of which, roughly 45% is in the U.S. Cash flow from operations was $606 million with the strength partially driven by the receipt of cash from QLogic and timing of certain payments which occurred early in Q2. Accounts receivable day sales outstanding were 34 days in Q1 and net inventory turns were 7.6. Moving to expectations, we currently expect net revenue in Q2 to be $2 billion to 2.1 billion. On a segment perspective we expect broadband and infrastructure to be up and mobile and wireless to be down slightly. We expect Q2 non-GAAP product gross margin to be up 75 to 175 basis points and GAAP product gross margin to be up roughly 100 to 200 basis points. Roughly half of the sequential improvement in gross margin is from favorable mix and half is driven by improvements in certain non-standard costs, some which are non-recurring. We expect non-GAAP R&D and SG&A expenses in Q2 to be down $5 million to up $15 million and GAAP to be flat to up $20 million. And now I’d like to turn the call back over to Scott to talk more about the state of the business.
Scott McGregor: Thanks Eric. Starting with the home platform, our broadband communications revenue came in ahead of our expectations at $559 million, up roughly 2% sequentially. Strength in the quarter was driven by set top box and broadband access products. We continue to see strong momentum in VDSL and PON sales due to share gains increased operator spending and new operator service launches. We see momentum in our DSL business in North America, Europe and Latin America. We also see continued share gains in PON globally and continued unit growth driven principally by China. Our set top box business continues to perform well. We see content gains in developed countries driven by the shift towards client server deployments, which carry more Broadcom content in tuners and networking. We see the market moving towards Ultra HD along with HEVC, which will drive richer content in the set top box for years to come. We also see share gains overseas as digital penetration continues to deepen and new designs come to market in Russia, Europe, Central and South America. We’re excited about the momentum we’re seeing in small cell field. This quarter we started to ship production volume of our first LTE Small Cell Solutions into several operators worldwide. We have shipped more than 2 million small cells to-date and we have LTE design engagements with more than 20 OEMs and operators. Looking into Q2, we expect our broadband business to be up sequentially, driven by broad strength across both set top box and broadband access. Moving to infrastructure, our infrastructure and networking revenue came in ahead of expectations and reached a quarterly high of $579 million, up almost 35% year over year. Strength in the quarter was driven by continued growth in our switching business, particularly in the service provider and data center markets. In the service provider market growth was across both switch and processor families and was driven by LTE build-outs particularly in China. In the data center we see growth driven by the transition to public cloud and broad adoption of our market leading merchant platforms. Broadcom continues to deliver innovative solutions that set the stage for industry transition to more virtualized scalable data center architectures. During the quarter, we launched our Open Network Function Virtualization platform that enables applications to be implemented across multiple SoC solutions and a range of instruction set architectures. We also announced the OpenFlow Data Plane Abstraction specification which is the industry’s first openly published implementation of a physical switch hardware pipeline abstraction. We published our 25 gigabit per second Ethernet specification which sets the stage for next generation in-rack server connectivity. We also completed our 28 nanometer multi core processor family with the introduction of the XLP500. Finally for the service provider market, we introduced our first millimeter wave SoC for the mobile backhaul and front haul that delivers industry leading 10 gigabit per second capacity. As we look into Q2, we expect our infrastructure and networking business to be up sequentially, driven by a broad based growth across all major end market segments. We believe our infrastructure business is on track for a third consecutive year of double digit growth in 2014. Moving to our HAN [ph] platform, our mobile and wireless revenue came in at $846 million, down roughly 10% sequentially. The decline in sales of cellular and connectivity solutions was in line with typical seasonality Turning to connectivity, we saw sequential growth in sales into access points and consumer entertainment devices. It was more than offset by reductions in PC and mobile. On the product front, we introduced location and NFC solutions targeted for wearables that reduce power consumption by 75% and 60% respectively. New wearable products continue to come to market that are based on Broadcom Solutions. Samsung recently launched the Gear 2 and Gear Fit for example, both of which are powered by Broadcom. For access points we also introduced the industry’s first six stream 5G Wi-Fi MIMO platform for home networks which is up to 50% faster than anything in the market today. It will be in routers in time for the 2014 holiday season. We continue to see a richer mix in mobile connectivity and saw both 2x2 MIMO and 5G Wi-Fi grow strongly both sequentially and year over year in the March quarter. We’ve seen third party market analyst forecast lower growth for high end smartphones this year. So to be conservative, achieving year over year growth in connectivity will depend on strong sell through in the second half of this year. Regarding our cellular investments, at last December’s Analyst Day we described the plan to invest in our modem and processor technologies to close the gap with the leading competitors and gain significant traction in the market. We’re getting close to the point where we have a clear picture on the business and I’d like to give you an update on those objectives and what to expect over the course of this year. Broadcom traditionally doesn’t announce products until they’re sampling or shipping but with the goal of investor transparency let me share our plans for the next couple of quarters. Between Q1 and the summer, we expect to have taped out a new family of LTE advanced products. These new products will include five mode support with TDS-CDMA so we can better penetrate the China market. They will also include carrier aggregation and support for at least Cat 6. Our leadership products will enable performance levels not yet announced by others including Cat 7 and Cat 9 and 10, which supports downstream data rates of up to 450 megabits per second and upstream data rates up to 100 megabits per second. SoCs will include multi-core 64 bit processors that clock at least 2 gigahertz, advanced multimedia subsystems and integrated LTE advanced modems. Based on preliminary feedback from customers, we believe these will be truly leading edge products. Our job is to deliver these products to customers who are now making design decisions for the next generation of LTE smartphones. Over the next few quarters, we should have greater visibility into the design win momentum that our new products will garner, although one or more key design decisions could be determined in the nearer term. Consistent with what I said at Analyst Day we will continue to monitor progress to milestones to ensure that our cellular investments are on a path to create sustainable shareholder value. I’m proud of what our engineers have accomplished and I believe these forthcoming products will favorably surprise quite a few people. Looking into Q2, we see our mobile and wireless business trending down slightly. Looking at the full year we continue to see the profile of our mobile and wireless revenue to be more weighted towards the second half. This change in the seasonal profile of the business is being driven primarily by the continued ramp of new connectivity technologies including 2x2 and 5G Wi-Fi as well as the ramp up of our LTE business. In summary, our broadband and infrastructure segments continue to deliver solid results and we believe we’re making the right investments in mobile. 2014 is set to be the third consecutive year of double digit growth for our infrastructure business. Broadband is seeing steady growth, driven by our leadership in set top box and broadband modems. In our mobile business we’re continuing to focus on our LTE milestones. We have defined a leadership roadmap and set attainable milestones for the team over the coming year. We look forward to bringing to market leading edge LTE thin modems and SoCs that can position us for success in the smartphone market. This concludes our prepared comments and we’re now ready for your questions. Eric, may we have the first question please.
Operator: Thank you (Operator Instructions) Our first question comes from Craig Ellis with B. Riley. Please go ahead.
Craig Ellis - B. Riley: Thanks for taking the question. Scott I wanted to clarify the nature of the write down on the Renaissance product side first and then the follow up would be on mobile and wireless with operating income negative 32 million and down on a year on year basis for four consecutive quarters and given that the segments guided down in the coming quarter, what do we bottom out on operating income and how patient are you going to be with the loss that we saw in the first quarter?
Scott McGregor: A number of question there. Why don’t I turn the first one to Eric on the Renaissance in turn and then I’ll be happy to cover the others.
Eric Brand: Sure Craig so whenever you do an acquisition you ascribe the value to various aspects of the transaction and we ascribe a fair amount of value to the revenue of the legacy product that we bought. As the revenue forecasts have come down and become more back end loaded for the year it triggers the impairment of approximately $5 million. So its revenue based and obviously subsequently the cash flows associated with it, somewhat offset as I mentioned by the fact that we’ve reduced cost faster than we originally anticipated.
Scott McGregor: Craig let me offer a number of perspectives on the market in response to your question there. In connectivity share overall, Broadcom’s connectivity share remains relatively strong, specifically at the high end and we see that continuing. We do see low end moving to integrated platforms, where Broadcom has less share and mid-tier is much more competitive. But we do see good strength in the high end. In terms of mobile and wireless revenue in Q2, we see connectivity relatively stronger than the base band and that’s partly because of 3G pricing expected to be down into Q2. And we focus our R&D primarily on 4G. In terms of LTE design wins, we are engaged with multiple customers. We have multiple design wins. And in terms of the progress on our LTE milestones, we think we’re doing quite well on the technical milestones. It’s still too soon to tell on the economics and customer traction. We really need to see that ramp continue here but I would observe that there are a lot of design wins in play right now with key customers and so I think an opportunity for us going forward. And certainly anytime you lose money in the business as you’ve pointed out, that’s a disappointment and so we need to move expeditiously to fix that. We do continue to see the business as more backend focused into second half of this year and so we do some design wins ramping there. And I think if those design wins ramp strongly, we should see certainly an improvement on the bottom line. So assuming again we do see that ramp, I’d say definitely we should see some pickup in the second half.
Craig Ellis - B. Riley: After all those do I get a follow-up? I’ll take a stab at it. Eric, I think, we had gotten your thinking that operating expense trajectory for the business would be a down from the first quarter, but you’ve done a real good job controlling expenses. Is it still reasonable to think that OpEx is flat to down from here or for how should we think about some of the sequential dynamics, especially given it’s a more backend loaded revenue year in mobile and wireless?
Eric Brandt: So, Craig, what I would say is that we were about probably 20 million better than what consensus was in Q1 and we’re sort of seeing good progress in Q2 with good thigh expense management. I would expect that the rest of year, given we’ve gotten a fair bid of what we’ve expected to get out of the synergies that it would be fairly flatfish with some lumpiness associated with masks and tapeouts.
Operator: Our next question comes from the Vivek Arya with Bank of America. Please go ahead.
Vivek Arya - Bank of America: Thank you for taking my question. Just to clarify Scott, did I hear TD-LTE as a feature in the roadmap you described? And the real question is the pricing environment in TD and LTE because you’re competing with both the large players, the Qualcomms and Mediateks but also several subscale vendors, one of which said recently they’re willing to lose several billion dollars to stay relevant in the business. So if you could address the TD-LTE feature support? And then how is the pricing environment and how that’s dictating your decisions in mobile and wireless?
Scott McGregor: Thanks, Vivek. Our products today support TD-LTE. What we’ll be adding is TD-SCDMA, which is China 3G standard, which is important both for the China market as well as dealing worldwide phones and that was something that we didn’t have in our products that limited some of our opportunity to penetrate the market. So we’ll definitely have all of that in our products going forward. In terms of pricing, the pricing environment is challenging, 3G in particular. 3G pricing is fairly aggressive at this point. 4G price has come down particularly in the low end, but we think that one of the advantages we have as being one of the very few people in the high end of LTE advance, we see a relatively better pricing environment there versus what I think some of the other players are trying to gain a foothold in the lower end market in LTE.
Vivek Arya - Bank of America: So, Scott, then what is the deciding metric for you as you look at how you should be investing in the mobile and wireless business? Is it the sales of LTE or is the operating margin of that segment? Like what is the metric that you have on your dashboard to decide how much to invest in the mobile business?
Scott McGregor: For all of our businesses at Broadcom, we always look at what is the opportunity to create shareholder value and that’s a series of metrics that includes growth, includes margin, it includes both gross margin as well as operating margin and both near term, medium term and long term views on that. And so the metrics that we look at are the economic viability of that business. And we don’t do businesses to lose to money. We do businesses to make money. And we need to believe that there is an opportunity to do that in order to invest in those businesses going forward. And I think again, we believe right now it’s too early to call on those businesses. We think we’ve got some great products coming out and we think there is some pretty interesting customers’ opportunities but those are financial metrics we look at in order to determine whether we make investments, not only in cellular but in any of our businesses.
Operator: The next question comes from Timothy Arcuri with Cowen & Company. Please go ahead.
Timothy Arcuri - Cowen & Company: Just a follow-up on that. Part of being in the LTE business is to protect the connectivity franchising. I guess, can you help us understand that if you were to exit the baseband side that how much of the connectivity franchise would be at risk? Can you help us size that?
Scott McGregor: Well, your question is a little hypothetical but let me try to help you. Certainly, when we win a baseband, the probability that we win the connectivity with it is extremely high. And so to the extent that we gain share in baseband, we would probably be able to actually our share in connectivity. We’ve seen some competition at the low and mid-range take some share from us and connectivity. This would be an opportunity to gain that back, if we have success in baseband. I think, if you look at connectivity if we didn’t have baseband at all, we would certainly see success in many area, including areas we’re already very strong in, the high end of the smartphones, high volume smartphones. We also would see opportunities in wearables, Internet of Things, PCs all kind of other devices. So it’s fairly diverse business that we see today. But certainly the largest piece of it is the cellular. And again there’s a synergistic benefit to having both of those businesses. But it wouldn’t drive a decision against the ability to make shareholder out of the total business.
Timothy Arcuri - Cowen & Company: Okay. Thanks. And then I guess, just Eric, just on how to think about the drop through for the incremental LTE revenue this year, how much of that’s going to drop through, given that some of that’s going to probably cannibalize 3G?
Eric Brandt: Yeah. You know, look 3G is down and I think partially due to pricing, partially due to volume. We’re not thinking a lot of it, a lot about in terms of the cannibalization of 3G. We think 3G has got its own set of models and it’s not sort of a tradeoff between the models. We believe we have the R&D investment in place. So literally, virtually all of the gross margin that we achieve on LTE should drop through net of the 3G. I don’t have a connection to the LTE side of that.
Operator: Our next question comes from Harlan Sur with JPMorgan. Please go ahead.
Harlan Sur - JPMorgan: So on mobile and wireless, I know that the team has talked about more or less second weighted growth in your business given the, I think what is the big funky Wi-Fi product cycle at one of your large customers there. You obviously mentioned your 4G business is tracking to your roadmap milestones but also mentioned potentially lower than expected volumes. Can you guys just help us to understand, is it more a function of, you’ve got the design wins, but it’s just hard to figure the volume sell through or is it that you’re just not getting much design win traction in the first place. And I guess my second question is, is your LTE business growing in the June quarter?
Eric Brandt: Thanks Harlan. In terms of our LTE business, we had some initial small designs and what we do is we see larger design in the second half of the year. And so as those ramp, that’s what going to, we believe drive the volume growth in LTE. And so we’re waiting for those to deploy over the next months here. And again, it’s pretty mature to scribe those but as they came out we will be able to talk more about those, but it’s an increased number of models and models that are more applicable across a broader range of the geographies is what we see driving it in the second half.
Harlan Sur - JPMorgan: Okay. Great. And then within connectivity on the leading edge, 2x2 MIMO 5G combo, sort of the next step right, it’s moving from computer and tablet to smartphones. It’s being used by your lead customer in one of their latest smartphones. As you look at the pipeline for connectivity into the second half of this year, do you anticipate more smartphone customers transitioning to your 2x2 AC solution or is it still going to be more 1x1 AC focused?
Scott McGregor: I think you’re going to see a variable rainbow of what people are doing. There is some people who still have N [ph] in their phones and they’ll transition to basically 1x1. We see the 1x1 guys transitioning to 2x2 and there is some additional technologies that will come out with over the course of the next year to offer additional features. We see a pretty rich pipeline of connectivity technologies that we have to constantly bring more value to our customers. And so we think we’ve got the opportunity to keep that moving there. But again it’s not one specific transition. It’s a variety of transition across the whole matrix of customers and what they’re using today and moving up to the next step pretty much across the board.
Operator: And the next question comes from Srini Pajjuri with CLSA Research. Please go ahead.
Srini Pajjuri - CLSA Research: Scott, given your view that high end smartphones are slowing a bit here, do you still expect your connectivity business to grow this year?
Scott McGregor: I think with the slowing of smartphones it’s going to make that more challenging. So in order for us to grow in connectivity it’s going to depend on the ramp up in the second half. We could very much do that. But again it’s a little hard to call until we see the ramp up there in the second half. So stay tuned on that. But it’s certainly possible to do that, but not a guaranteed thing as we’re sure as we were a little while ago because of the lower handset volumes.
Srini Pajjuri - CLSA Research: Okay. And then on the operating margin, operating loss in wireless, to what extent are you -- is this resulting from any potential pricing pressures on the connectivity side? I understand you’re investing a lot on baseband but I am just curious if you’re seeing pressures on the connectivity side as well?
Eric Brandt: Srini, it’s really two things. One is -- the probably most important is the additional R&D cost we took on with the Renaissance transaction and the reduction in absolute revenue, that’s number one. And then I would say secondarily with respect to the pricing pressure in 3G which really is that vast majority of the revenue in mobile right now in terms of the cellular side, there has been quite significant price pressure in the 3G side of the house.
Srini Pajjuri - CLSA Research: Okay. And if I could ask one more question. Scott you mentioned wearables as a potential. Can you talk about how big that opportunity could be by end of this year?
Scott McGregor: Well, to be honest Srini, I don’t know. I have seen numbers ranging from 19 trillion to much lower numbers. We think it’s an important trend but predicting exactly how fast that’s going to go is hard. Our goal is to create interesting new products out there, again focused on form factor and power and features unique to that market. So I think right now we certainly see a number of products there. I don’t think it’s going to be a huge needle mover this year for us or many companies but over the next few years I think it’s a definite factor.
Operator: Our next question comes from Joe Moore with Morgan Stanley. Please go ahead.
Joe Moore - Morgan Stanley: Your networking business I think you described as a business with kind of a 10% long term growth a couple of years ago and now you’re growing obviously a lot faster than that against easy comps. How do you think about the sort of three to five year growth outlook for that business now? Is this a product cycle and is there -- how long do you think you can continue to outperform this way relative to that long term growth?
Scott McGregor: For the last three years, we’ve been able to grow our networking business double digit and I think that’s due to a number of things. It’s due to certainly strong product cycles, good technology, we’ve been able to gain share in that market and we’ve seen some favorable macro trends and industry trends where people are moving to cloud based data centers. We’re seeing a lot of deployment by service providers in areas such as China. In terms of some of those trends, in terms of products and share, I think we’re in good shape to continue that trend. What’s a little hard for us to forecast is exactly how sustainable all of the macro market is going to be but certainly this year is looking good and I don’t see any inherent reason why we wouldn’t be able to grow double digit or at least come close to it.
Joe Moore - Morgan Stanley: Great, thank you. And then in terms of coming back to the and kind of breaking out the segment data and showing kind of $3 billion in losses last year, what does it mean that they’re making that type of investment to get the scale? Can they -- and in the tablet market at least they’re showing some willingness to subsidize the business. Do you think [indiscernible] same thing in smartphones. How does that, you and others are buying to be in second place in LTE with them? How does the way they’re behaving kind of effect the way you think about long term profits in that business?
Scott McGregor: I think it certainly informs our decision on that and we need to look at whether markets can structurally be profitable or not and that’s something that we’ll factor into our decisions going forward. I think we have some advantages over some of the other competitors. For example a very rich breadth of IT portfolio including strong connectivity, strong radio power management technology, all of the different things you put in handheld devices and I think that’s unique at Broadcom. Other companies are trying to catch up in that regard but I think that’s a strength that we really have of leadership technologies across a wide range there. So I think we’ve, got some really interesting products and we’ll see how those play out with customers this year. But if we were to conclude that nobody can make money in that business or it’s not possible to do so for us that would certainly be factor in our consideration.
Operator: The next question comes from Christopher Rolland with FBR Capital Markets. Please go ahead.
Christopher Rolland -FBR Capital Markets: Hey, guys. Thanks for letting me ask question here. So can you guys talk about your broadband division, good results there. It seems like we have a bunch of drivers here HEVC, DOCSIS, Ultra HD; whole bunch of others here. What are you guys most excited about? And can we get growth rates well above historical, the last three years moving forward perhaps even for a year or two here?
Eric Brandt: The broadband group is really doing well. Those guys are executing well. Their products are strong, a great roadmap and it think in terms of exciting things in the near term for growth are really geographical penetration. Broadcom has historical been very strong in North America and to some extent Europe and we haven’t seen the penetration in the rest of the world and we’re now really sort of going out around the globe and able to drive that. And I think that’s a multiyear growth opportunity for those guys to go take share actually geographically. I think we’ve got some other opportunities, you mentioned some of them. Certainly the HEVC and Ultra HD technology, as a lot carriers move to higher bandwidth and HEVC is interesting because it gives you basically twice in encoding performance so you can use our it on existing HD channels. It’s not just an ultra HD things but it’s certainly helps to free up some bandwidth for ultra HD. So I think that those guys have a real good opportunity. Now that being said, historically if you look to graph of the growth rate of that group it’s been a little lumpy and they have really, really years some softer years. I think if you modeled that as a mid-single digit grower, that’s probably the right things to put into your long term model. But we’re certainly going to have years when we do better than that.
Christopher Rolland -FBR Capital Markets: On the other side of things, on the infrastructure side, good quarter. Maybe we can dig in a little bit more there. It sounded Ethernet switching, I think you might be talking about Trident II, maybe some other products there as well. Where are we on the ramp in Trident II? And then also, you mentioned the China LTE base station roll out. What products are you supplying specifically into that?
Eric Brandt: So in the China LTE roll out, we provide which is there in some cases, we see we’ll be able to provide various other parts of the base stations. Our ambition longer term is to provide the complete base station solution but we only have some other pieces there today with front hall, backhaul, fiber channel pieces of that, the switch and some of the Ethernet capability there but we’re certainly having ambitions to do a more complete solution in that space.
Christopher Rolland -FBR Capital Markets: And on Trident II, where are we in the ramp there? Is there still a lot more to go?
Eric Brandt: Well, we see Trident II is a great product and of course you know our roadmap extends beyond Trident II the future products. So I wouldn’t view that as a one shot. I see that as a pretty much, if you can imagine an airport with planes landing, we’ve got them all queued up and ready to go there. We are seeing some new large customers beginning to ramp our merchant solutions. And that’s mostly yet to come. But we’ve seen very broad adoption of our Trident series of switches and our fabric products as well, very, very good customer acceptance for those products. So I think we’ve got excellent strength there.
Operator: Our next question comes from Mark Delaney with Goldman Sachs. Please go ahead.
Mark Delaney - Goldman Sachs: I know you guys talked already about the service provider and data center part of your infrastructure business. I’m hoping you can talk a little bit more on what the trends you’re seeing are within the enterprise part of our business?
Eric Brandt: In terms of data center and enterprise, we haven’t yet seen sort of a wholesale ramp of the enterprise business and we’d like to see that come. The real growth area for us in this cloud datacenters and people doing really good deployment there. So these tend to be Greenfield datacenters where they deploy a wide range of our products in those. And then I also mentioned the LTDE roll out for base stations, which includes a lot of our products, but I think the cloud datacenter stuff looks like they are very strong trend. We expect that to continue and Broadcom had probably the best products for people deploying large scale high performance datacenters.
Mark Delaney - Goldman Sachs: Sort of follow-up question. I hope that you can elaborate a little bit more on the trend you’re seeing in NFC part of the market, what are your expectations are for a discreet versus integrated NFC and then how do you expect Broadcom share to trend?
Eric Brandt: I think the NFC market has gone through some interesting changes. One has being the reduction of expectation for embedded secure element. That used to be a large part of the revenue expectation for that market and that’s come out. As a lot of our carriers see that as a competition for, sort of, how they want to run their networks. We do believe that NFC will overtime grow for us. We lost a couple of big design wins to a competitor. We think we have an opportunity to win those back overtime. And long-term, we believe most connectivity solutions move to Combo based products, but right now the market when I see hold probably in the near-term is certainly more of a discrete kind of product.
Operator: Our next question comes from John Pitzer with Credit Suisse. Please go ahead.
Ryan Carver - Credit Suisse: This is Ryan Carver for in John Pitzer. You’ve talked about sort of LTE being price aggressive at the low end and your focus sounds like is more on the high end of sort of LTE. I guess kind of thinking holistically about the mobile and wireless space, what’s the opportunity for you guys to be able to drive growth at the high end? If we sort of look at year-on-year growth for your business kind of ex your two big customers, it’s been down kind of strong double digits year-over-year. So maybe can you just sort of kind of frame the opportunity from a holistic perspective? If the high end isn’t growing the low end is where it kind of lesser presence is? What’s the opportunity you guys really chasing here with the kind of the entirety of the mobile and wireless right now?
Scott McGregor: Certainly for baseband, for us it’s a market share opportunity. So, it doesn’t particularly matter that the market’s slowing a little bit there because it’s a market share gain play there and we have a relatively small market share in baseband today and to the extent we can gain a higher market presence there that’s definitely a positive opportunity. I think the opportunity in the connectivity side is more getting increasing content into those devices and moving people upscale. So for example moving from 802.11n to AC to 2x2 and to some of new technologies we’ll be announcing adds additional value and ASP increased for us on those products. And to the extent we can get a boarder footprint across for phones, that’s the market opportunity. So that’s the play for us in that space as well some of the newer markets, Internet of Things, wearables, and other things being added into that overall market opportunity.
Ryan Carver - Credit Suisse: And my follow-up question. ING has obviously done very well. Datacenter has been a really strong year for you guys. Can you talk about any sort of incremental opportunities around product refreshes from the server perspective, specifically granularities for future generation? And what you guys kind of see from sort of peripheral datacenter technology requirements that might deliver sort of an incremental growth rate for you guys at datacenter going forward?
Scott McGregor: As people upgrade the datacenters to 10 gig and 25 gig and 40 gig and up to 100 gig, that’s certainly an opportunity for us because we typically upgrade all the connectivity components, all the Ethernet switches and other aspects of that. In terms of Ethernet controllers, we now partner with QLogic and so some of grandly designs that for the 10 gig there will now be done with QLogic and us as an ASIC partner for them. So I think overall as our datacenters upgrade and move to a higher bandwidth, that generally plays well for us, increasing both numerical quantity as well as the ASP of the products we sell in.
Operator: Our next question comes from Mike Burton with Brean Capital. Please go ahead.
Mike Burton - Brean Capital: First on the new LTE advanced chip with 5 mode and TD-SCDMA, sorry if I missed this but did you mention that would be targeted at the high end or mid-tier, is it a thin modem or full SoCs and if it thin, is that expected to merge with Merlin minimum platform next year?
Scott McGregor: So let me explain that in a little more detail. We have a family of products. So it’s not just one or two products. It’s a whole family of products, includes a family of thin modems and a family of SoCs. And we will target everything from low to medium to high in that space offering variations of products at different clock speeds for example, different modem capabilities. And again we’re not at the point of a product announcement at this point. That will come later on this year for those products but we will offer a range of products covering the spectrum.
Mike Burton - Brean Capital: And then on the second half commentary for mobile and wireless, we would need to see 2010 like second half to get to flat year-over-year. Can you help us understand what you see as really drivers for that? Is it 2x2 MIMO, the ASPs associated with that, baseband or is it something else?
Scott McGregor: I’d say it’s a combination of three things that I would focus on. There are many individual drivers but I’d say the big three are the ramp up of our LTE basebands, the increase in ASP as we move to higher end products and then just the overall product cycles with some of our large customers as they launch new products in the second half.
Operator: Our next question comes from Edward Snyder with Charter Equity Research. Please go ahead.
Edward Snyder - Charter Equity Research: Thanks a lot. I want to dig in yet again on your modem business here. I’m little bit confused. You had mentioned in the question about connectivity how you lost some share in the low end and the mid-tier and the reason for having baseband is that you might get a better attach rate and gain some of that back. But at the same, when we talk about pricing pressure, you are saying you’re going to play more on the high end of LTE, which certainly listed a number of different products or different features of products that would play very well at the high end of yet release this year. And then in response to Mike question, you’ve just said you had a whole suite products across both SoC and thin modems and all the different tiers. So let’s just deal with 2014 now. Do you think the first products out will be predominately high end, so you’d be avoiding a lot price pressure coming from MediaTek and some of the stuff that Intel's going to release later this year. And if that’s the case, will it have much of an impact on connectivity or is that something that’s going to happen out 2015, 2016. Thanks.
Eric Brandt: The LTE products we have this year, frankly are not high end. I’d say they are more low-mid. And so, those are the products that we have in the market today. The products that we’re taping out over the next – that we’d already taped out and will be taping out over the next months are mid and high end products and so we’re looking to see design wins there. Those were not shift in terms of revenue this year though on those high end products.
Edward Snyder - Charter Equity Research: So most of that strength will probably at 2015 as some of these new ones you’re alluding to will show up. Thanks for that. And then, a large base of your investors that are holding the stock on the idea that you will exit modems eventually. I know you’ve had lots of those conversations in last say year or so. You talk in general but you want to make profits in any business you’re in and this one’s not doing it now. What timeframe are you looking at to decide whether or not this makes any sense? You had the one business for quite a well now. Are we talking about next for 2014? Are you going for another two years to make a decision whether or not this is going to work or? And is it strictly profits or were you willing to move closer to breakeven if you saw some pull through connectivity and you’re gaining some share there? Thanks.
Eric Brandt: We haven’t given a specific timeframe. We’ve instead said that there are some milestones that we put forward that we track and again there are technical milestones, there are customer earned milestones and then there are economic milestones that we look to -- in terms of can we create economic value and shareholder value with these products. And again, that’s no different than for any of rest of our products that we look at that. And certainly right now we believe that there is a tremendous in this business. And if we succeed in getting strong design winds with the products that I mentioned in the conversation, we could have a good business here. If we don’t see customer traction on those products and we don’t find the market attractive, then that would lead us to a different conclusion. So for me it’s very important to see how these products do over the next few quarters and I think that’s what I am looking for in terms of seeing whether we create economic value here. But again, these are pretty interesting products and I wouldn’t second guess them. And on the other hand we’re going to do the right to create shareholder value. We are saying we are going to do what’s rights for our shareholder in the end here.
Edward Snyder - Charter Equity Research: And final question if I could, it seems you've worked in this for a long time and you had to be seeing guys in there that didn't work out, because the Renaissance guys [indiscernible], has that been a step change? Have you noticed a significant difference in may be not slated performance during the products as you’re coming in the market with and the pace at which you’re coming to market. Has that caused your thinking to change about the modem since that acquisition’s occurred?
Eric Brandt: The Renaissance or X Nokia modem team is really, really good team. And I think that we’ve seen a number of things as a result of that acquisition. One is very strong creditability with customers and carriers. This is a team that’s been working on this stuff for decades. These guys invented LTE and so that strength of technical ability and creditability has really helped us in terms of working with carriers, in terms of working with customers. And the team has executed really well. I think everybody was concerned whenever you do acquisition, will the group perform and that acquisition has gone very well. That team executes well and we’ve been able to bond that together the pieces of the Broadcom team to provide the rest of some of those advanced LTE features and fill out the product set. So I am very happy with the engineering team from Renaissance. They’ve done a great job. And I think the strength of these products that we’re coming out with over the next quarters is definitely due to not only the strength we had here at Broadcom but exceptional team at Renaissance. And again I am proud of this guys and the products will probably surprise some people. No one else has yet talked about Cat 7, Cat 9 and Cat 10 products. And so for us to talk about that today shows the confidence we have in able to do advanced LTE products.
Operator: At this time we have no further questions. I will now turn the call over to Scott for closing remarks.
Scott McGregor: Thank you everyone for joining us today. Our broadband and infrastructure segments continue to deliver outstanding results and we see that momentum continuing into the June quarter. In mobile we’re focused on delivering leadership connectivity solutions and executing to our milestones in LTE. With that, thank you very much again for joining us. And have a good day.